Peter Nyquist: Hi, and good morning, everyone. And welcome to this Conference Call for our Third Quarter. My name is Peter Nyquist, and I’m the head of Investor Relations here at Elekta. With me here in Stockholm at the head office I have our President and CEO, Gustaf Salford; and our CFO, Tobias Hagglov who will present the result today. So today’s agenda we will start off with Gustaf presenting some highlights of the development during the third quarter and the fiscal year of 2024-2025, as well as some strategic achievements. Then Tobias will take over and give some details on the financials and the presentation then will end with Gustaf viewing view on the Elekta outlook. And after the presentation there will be as always time for Q&A. But before we start I want to remind you that some of the information discussed on this call contains forward-looking statement. This can include projections regarding revenue, operating result, cash flow, as well as products and product development. These statements involved risks and uncertainties that may cause actual results to differ material from those set forth in the statements. So, with that said, I would like to hand it to you Gustaf, please.
Gustaf Salford: Thank you, Peter, and thank you all for attending our call. I would like to start with the key takeaways for the third quarter of our fiscal year 2024-2025. So our net sales increased by 2% in constant currencies mainly driven by solid performance in Europe and most markets in APAC while the U.S. and China declined. The adjusted gross margin improved to 37.1% and the increase came from price increases and a favorable product mix with an increased share of service. The adjusted EBIT margin amounted to 11.7% a slight increase year-over-year mainly impacted by the positive gross margin development and as expected higher amortization costs following recent product launches. The book-to-bill ratio was strong and came in at 1.15 in the quarter and we saw a 21 order -- 21% order growth in constant exchange rates compared to last year with growth across all regions and business lines. In EMEA the order growth was supported by the new product launches of Elekta Evo and Elekta ONE. China continued to deliver strong order growth compared to last year’s low level and we’re seeing an increasing public procurement activity in the Chinese market implying a solid foundation for future sales growth. Elekta Evo, our latest AI-powered adaptive CT-Linac and our new software suite Elekta ONE Planning have been well received by customers and had a positive impact on the order and sales growth in the markets where it is regulatory cleared with Europe contributing most. The installations of Elekta Evo are progressing well and we have also done many upgrades during the quarter. The new system went clinical during the quarter with very positive customer feedback and the first patient on Elekta Evo was a curative treatment enabled by the superior image quality provided by the new CT technology Iris. During the quarter we have secured significant commercial wins including a major deal in Mexico and Unity wins from competition in the U.S., as well as in Europe. Moving to the next slide where I give you more details regarding the sales and market development during the quarter. In constant exchange rates group sales increased by 2% year-over-year. In Americas growth in South America was fully offset by decreased sales in the U.S. mainly as a consequence of customers awaiting the Evo -- Elekta Evo clearance. APAC sales grew by 6% in constant exchange rates with good performance across most markets. However, the market in China remained impacted resulting in an 8% sales decline in the quarter. Sales in EMEA increased by 5% in constant exchange rates compared to last year driven by strong performance in Europe supported by the new product launches and we saw strong growth in countries like France, the U.K., as well as in Germany. Elekta has a globally installed base growing with around 4% per year enabling significant service, upgrades and after sales opportunities going forward. Since we launched ACCESS 2025 we have been accelerating innovation and recently we launched our new CT-Linac Elekta Evo and treatment planning software Elekta ONE Planning and today we have the leading and most comprehensive portfolio in the industry with our Leksell Gamma Knife Esprit, Brachy Studio, MR-Linac Unity and Elekta Evo and Elekta Harmony on the CT-Linac side and also Elekta ONE Software Suite. So looking across this portfolio we can proudly say that we enable adaptive treatments in all our product lines, Neuro, Brachy, Linac and software solutions. And where our Unity has unique MR imaging and comprehensive motion management technology, the Elekta Evo now complements our adaptive Linac portfolio with its online and offline adaptive capability with AI enhanced imaging with the Iris technology. We will leverage our leading product portfolio to drive profitable growth going forward. So looking closer at the significant opportunity for profitable growth from Evo and Elekta ONE in the ongoing rollout in Europe and coming waves in the rest of the world, you can see that for new solutions revenues we will drive installations of new systems and software, and we have seen a fast uptake in Europe of both orders and installations. And in Q3 almost 50% of the Linac orders in Europe were Evo. And it has been very well received among customers and it’s relating to clinical needs and elevating personalized care, as well as increased productivity. So for upgrade revenues we saw a strong increase in Iris upgrades during the quarter and we have an ongoing campaign we’ll sell the upgrade package that will drive after sales growth in the coming quarters and years. Now if we turn to some of our success stories in the quarter. During Q3 we have secured several commercial wins among others a public tender for eight Linacs and Elekta ONE Planning to IMSS, Mexico’s largest public healthcare and social security institutions. This significant order marks a major milestone in Elekta’s ongoing effort to support Mexico’s healthcare system and enhance cancer treatment capabilities across the country. And furthermore it strengthened our market leading position in the country. And our Unity traction is progressing well and during the quarter we signed a deal with Moffitt Cancer Care Center in Florida, a national cancer institute designated comprehensive cancer care center. And it was to grow their MR guided adaptive radiation therapy program around the Elekta Unity MR-Linac. We also saw the first clinical Evo treatment and it occurred in DTZ in Germany in December 2024 treating with Elekta Evo. And it was delivered with a new Iris capability that comes with better images, AI enhanced and getting much clearer visibility of the targets and also the organs at risk. And it was a curative treatment for bladder cancer. It’s super exciting to get the first patient treated and we are looking forward to helping more cancer patients around the world getting treated with this new technology. I’m also very happy to be able to communicate that the Elekta has once again won the Best-in-Class award which is based on feedback from thousands of clinical users collected and evaluated by the independent research firm KLAS. The introduction of Elekta ONE with software-as-a-service or SaaS offering demonstrate our focus on personalization, integration and streamlined user experience. This enables clinicians to boost productivity and enhance personalized care. And winning this prestigious award and the increased use of Elekta’s digital solutions globally is the results of our investments in software during the recent years. And we see how accelerated innovation brings a direct benefit to healthcare providers and the patients they treat. So, with that, I would like to hand it over to Tobias for the financials.
Tobias Hagglov: Thank you, Gustaf, and good morning, everyone. Let’s then look into the Q3 results in more detail. During the third quarter net sales increased by 2% in constant exchange rates. As Gustaf previously mentioned, we had lower sales in the U.S. and China hampering our growth. Our service business grew strongly by 10% year-over-year with growth in all regions and business lines. Solution sales declined by 4% driven by lower volumes in the U.S. and China. Adjusted gross margin amounted to 37.1%. The increase versus last year was mainly driven by price increases and a favorable product mix including an increased share of service. Changes in foreign exchange rates had a negative impact in the quarter of 60 basis points on gross margin level year-over-year somewhat less than in the second quarter this year. The service margin in the quarter was negatively impacted by market mix and higher material cost. The adjusted EBIT margin improved to 11.7% supported by the higher gross margin. Selling and amortization cost increased following the recent product launches. Admin expenses declined driven by the cost reduction initiatives. Last year’s quarter was also negatively impacted by FX which is visible on the FX another row. Net income amounted to SEK336 million and earnings per share SEK0.89, compared to SEK0.80 last year. Now focusing on the cost reduction initiative. The cost reduction initiative announced in Q1 amounted to SEK264 million in annual run rate savings for the first nine months, which is ahead of plan and target. Year-over-year savings of SEK80 million were achieved in the first nine months. The implementation cost amounted to SEK167 million and are reported as items affecting comparability. Then looking into our cash flow. During the third quarter cash flow after continuous investments increased to SEK730 million which is a record high third quarter cash flow. The increase was supported by higher EBITDA, lower investments and reduction of working capital. Net working capital as a percentage of net sales improved from minus 6% last year to minus 7%. In the third quarter we have continued to make R&D investments in new product solutions and software amounting to SEK321 million and tangible assets of SEK45 million. The rolling 12 months cash flow from operating activities amounted to SEK2.38 billion a sequential increase. Our cash flow in Q3 was strong and rolling 12 months cash conversion amounted to 79% above our target of 70%. With that back to you Gustaf.
Gustaf Salford: Thank you, Tobias, and now I’d like to focus on our outlook for the full year of 2024-2025. And as the uncertainty in the world increases and near-term we expect lower volumes in China and the U.S., we are adjusting our full year guidance. So in the full year of 2024-2025 we expect net sales to be broadly stable and EBIT margin to be lower compared to the full year of 2023-2024. And beyond this fiscal year we are targeting an EBIT margin of 14% or higher driven by strong customer interest in our industry leading product portfolio and increasing demand for world-class cancer solutions. So to summarize the third quarter of 2024-2025 we saw a strong order and sales growth in Europe supported by the product launches. We saw a record high cash flow in Q3 and as we communicated during the call we are adjusting our full year guidance due to lower volumes in the U.S. and China. However, we remain committed to our target of driving for an EBIT margin expansion to 14% or higher beyond 2024-2025. And this is supported by accelerating innovation in recent years and all our products are now fully adapted. And today we have the industry’s most competitive and comprehensive product portfolio which we will leverage to drive profitable growth moving forward. Thank you.
Peter Nyquist: Thank you, Gustaf. Before starting the Q&A I would like to remind you about some upcoming events here. You will start to see in April 8 we will have our second deep-dive and we will focus that deep-dive more on marketing and all related issues regarding the store base for example. Then we have ESTRO coming up between May 2nd and May 6th and that will be in Vienna this year. And then we will end that quarter with our results coming up May 28th our Q4 results. That all will lead up to the Capital Market Day on June 10th where we will present our updated strategy including some financial targets and including the possibility to meet managements and get some deep-dives around our products, see our products here. And the event will be held here in Stockholm as we have said before at our new head office Forskaren in Stockholm. More details and an invitation will be sent out later this quarter. So, with that, I would like to hand over to the Operator for the Q&A session. So, please Operator we are ready now for the first question.
Operator: [Operator Instructions] The first question comes from Rickard Anderkrans from Handelsbanken. Please go ahead.
Rickard Anderkrans: Good morning and thank you for taking my question. So first one on the guidance here. What in particular did you underestimate with the installation pace in the U.S. in anticipation of Evo clearance as part of your previous guidance versus the updated version? And when do you anticipate to receive U.S. clearance for Evo? Thank you.
Gustaf Salford: Thank you, Rickard. So on the guidance in specific U.S., I think a lot of things has happened in the U.S. since the last quarter report as we all know and we have seen a slower installation volumes both in this quarter and we expect that as well in Q4 compared to the plan we had previously. Therefore, it’s partly why we then changed our guidance for the year. Of course, Evo is very important and we launched it at ESTRO and we are in the FDA process right now. We get questions, we answer questions, but we cannot really say a specific date when we get clearance. And of course as soon as we have more information we will come back with that. So I think that’s the main reasons for why you see lower installation volumes in U.S. in Q3, as well as in Q4.
Rickard Anderkrans: All right and second question. You continue to have a cautious outlook on China despite what seems to have been a pretty good order print here in Q3, and you also mentioned increased public procurement activity. So what was the order growth in China year-to-date and what’s the biggest change from the previous expectation of a strong Q4 in China which you communicated as soon as Q3 here?
Gustaf Salford: Yeah.
Rickard Anderkrans: Or last quarter, sorry, last quarter.
Gustaf Salford: Yeah. So if we take kind of the order dynamics. I mean if we go back last year very low of course we have quite easy comparison, but we’ve seen the last two quarters we have been above I think it’s 20% both of those quarter. Year-to-date, I don’t have a specific number. I can come back to that. But then if we look in the quarter we have been quite successful in actually installation. So we are minus 8% in revenue in the isolated quarter. I think that’s quite good if you compare that to our peers and Capex MedTech. But of course now we need to fill the backlog and it’s very positive to see the 24% in the quarter. It’s still a negative book-to-bill ratio in China. But with the higher orders we will come back with the public procurement activities that we now see. So we continue to see a positive outlook for orders and that will translate into more installations. So it’s more of a timing effect Rickard that we see right now. And it has been happening a lot around the world as we know. So China was then not as good as we maybe thought three months ago and that’s the second reason for a change in outlook. And we are a bit cautious on China in the coming quarters here.
Tobias Hagglov: The year-to-date number for orders is 13%.
Rickard Anderkrans: 13%. Yes.
Gustaf Salford: Okay, Rickard.
Rickard Anderkrans: Thank you.
Peter Nyquist: Thank you. We’ll move to the next question please.
Operator: The next question comes from Erik Cassel from Danske Bank. Please go ahead.
Gustaf Salford: Good morning, Erik.
Erik Cassel: Hi. Good morning. Hi, everyone. So first I want to get a bit more specific on the EBIT margin guidance. I mean you’re saying it’s down year-over-year. That’s what we are to expect. But what’s the sort of magnitude here? Are we looking below 11% or are we able to get given a sort of color on that?
Gustaf Salford: Yeah. So, thank you, Erik. I can start here. So I mean we guide for lower. So we’ll not quantify that more than that. So I think that’s what we expect in the quarter.
Tobias Hagglov: Yeah. So I think here in terms of the full year the EBIT margin is lower right? And then you see some of the positive drivers that we have here in Q3 in terms of price and cost reduction initiative will also have an impact here in Q4.
Erik Cassel: Okay. Thank you. And then you said that almost 50% of Linac orders were Evo now in the EU. You’ve had expectations of accretive margins for those types of products. Have they in the tenders that you want now for this product lived up to those sort of margin ambitions that you’ve talked about?
Gustaf Salford: Yes. Absolutely. So we are very positive on what we see on the value we create for our customers. Taking them to totally new ways of treating with adaptive on CT-based Linacs and they’re willing to pay for that shift. So we have seen a great price realization significantly higher compared to what they replace in install base, as well as in greenfield sites. And then it’s more software around the adaptive treatment and the Elekta EVO package so to say together with all the upgrades where we’ve seen a really good uptake during this quarter. That is contributing a lot to the price level. So we are very pleased to see that we bring value to the customers and they’re willing to pay for it.
Erik Cassel: Okay. Perfect. Then just the last one. On those Evo sales what has been the attachment rate for say like the full Elekta ONE suite on top of that with online adaptive, et cetera, et cetera?
Gustaf Salford: Very, very high I would say. People want to go to adaptive and online adaptive and I think what’s fantastic with Evo is that the customer can select in the clinical workflow if they want to go adaptive or having a conventional workflow, and it could be offline and online adaptive. So it’s really enabling the customer to take it kind of in their own pace. The transition to adaptive and that has been a high bundling rate so to say on all those orders. Then you have the upgrades Erik and that’s a bit different because then you upgrade to better image quality on say Versa HD, but that’s not the full Evo upgrade that you can also do. So what I’m describing here is that we have many different opportunities both to sell totally new fully loaded machines but we can also upgrade the installed base to better image quality or all the way to Evo. And that’s a great opportunity for Elekta in the coming quarters and years.
Peter Nyquist: Great.
Erik Cassel: Okay. Perfect. Thank you, Gustaf.
Peter Nyquist: Thanks, Erik.
Erik Cassel: I will jump back in queue.
Peter Nyquist: Yeah. We’ll move back to the next question please.
Operator: The next question comes from Lisa Clive from Bernstein. Please go ahead.
Gustaf Salford: Good morning.
Lisa Clive: Hi. Thanks. Good morning. First question on China. What sort of competition do you see from local players in the market? United Imaging apparently plays in the Linac market, but have you seen any ramp up in the last few years or is this really just a player market still? And then second question on Unity. That launch was now several years ago almost I think seven years ago. What is the trajectory that we should think about for this technology? Will there be a Unity 2.0? Is there a potential to incorporate a low helium MR which I’d imagine creates a lot less barriers to adoption? Thanks very much.
Gustaf Salford: Thank you, Lisa. So I start with a Chinese question and I will talk a bit about the very exciting future of MR-Linac technology. But if you take the Chinese situation, as we’ve said over the last years I would say that over time good growth market the need is just immense. They are still on 1.5 say two Linac per million population. If you say in Europe we are at five, six, seven. In the U.S. there are more than 10. So there’s a huge need for Linac accelerators and radiotherapy technologies in the market. We have seen local competition from the last decades. But I would highlight, I mean, you see them the company you mentioned they have been growing in the imaging field and they are now going into radiotherapy as well. So we have we foresee more local competition. But Elekta have a very strong ecosystem in China with software, with development, with manufacturing, with strong service, with joint ventures, with M&A. So I think we will continue to be strong in China and we will grow with the market, but I expect local players to take a bit more market share. I think that that’s what we see at the moment, but we can still continue to grow very nicely in China when you get back to this public procurement investment cycles as well. There’s a big replacement need in China as well and we have a large installed base. And we foresee that quite a lot of the different stimulus packages will actually go into replacement in the installed base. So I think we are well positioned there as well. And if I then turn to Unity. As you said we launched it in 2018. We have started to build a very strong clinical evidence in the momentum study with around 6,000 patients. We start to see or we have seen and start to see even more of these superiority studies showing that this is an improvement of the standard-of-care and how you treat with radiation oncology. You can treat cases that you cannot treat with the regular CT-based radiotherapy. So I think it has a very strong and important role to play in today and in the future of radiation oncology. And there’s so many opportunities for how you can treat different cancer types say oligomets with this technology. And we will continue to invest in MR-Linac and we really see that it’s spreading to many cancer centers around the world. And then for the new technologies I think a big addition to what we are doing was the comprehensive motion management where the clinicians now can treat an image, a tumor in real time in a very efficient and good way and that’s what we’re rolling out right now. So we’ll continue to invest in the technology and drive it forward.
Peter Nyquist: Thanks, Gustaf. Thanks Lisa.
Lisa Clive: Thank you.
Peter Nyquist: Next question please.
Operator: The next question comes from Robert Davies from Morgan Stanley. Please go ahead.
Gustaf Salford: Good morning, Robert.
Tobias Hagglov: Good morning, Robert.
Robert Davies: Thanks. Good morning. Good morning both. Thanks for taking my questions. The first one was just on, given your comments around the margins for 2025, how you’re thinking about those medium-term targets of north of sort of 14% or so that’s sitting in consensus. That was just my first question. My second one was just trying to get a bit of clarification around your China comments. You made some comments around the sort of medium- to longer-term potential seeing some green shoots in terms of stimulus spending coming through, but then sort of called it out as one of the areas that had been a bit softer than expected. So just trying to get a bit more color on what’s going on there. And then just in terms of the U.S., the numbers in terms of revenue growth in the quarter were obviously below consensus expectations for the Americas. Could you just provide us a little bit more color what’s going on there, because I was under the impression North American CapEx had been pretty strong so far. So just wondering why that was the soft spot? Thank you.
Gustaf Salford: Thank you, Robert. So I think getting to 14% and higher, there are key drivers. The timing we’ll come back to, but it is the product launches. It is the software additions and more software in the mix. And it is also after sales and the service on top of a very strong installed base that’s growing with around 45% per year. So that -- they are the key drivers in getting to 14% and above. We’ll come back then to more on the timing during the Capital Markets Day after this fiscal year. I think China, my commentary was more on the timing. We are still positive on China. We see a lot of -- we have an important role in China to play. We see the public procurement activities taking off. We see the orders coming, but we expected the installations to be a bit higher than in Q3 as well in Q4 compared to what we see currently and quite a lot of things has happened in the world since we last spoke. In the U.S., I think, there -- I agree on the CapEx perspective that you mentioned. However, I think this has a lot to do with product cycles. So us versus competition, they are in a product cycle right now. We will come with the wave of Evo and Elekta ONE and so on. It started on the software side with Elekta ONE and Elekta ONE Planning, where we see success in the U.S. market. But of course, we look forward to bring Evo to the market as well. So when we have that opportunity, I think we can be part of the positive CapEx development that you refer to in the U.S.
Robert Davies: Understood. That’s clear. Thank you.
Peter Nyquist: Thank you.
Gustaf Salford: Thanks, Robert.
Peter Nyquist: We’ll move to the next question, Operator.
Operator: Next question comes from Mattias Vadsten from CEB (sic) [SEB]. Please go ahead.
Gustaf Salford: Good morning, Mattias.
Tobias Hagglov: Good morning, Mattias.
Mattias Vadsten: Good morning. Can you hear me?
Gustaf Salford: Yes. Perfect.
Mattias Vadsten: Good. Good. A lot of questions on China already, but I have another one. So if it’s possible to give the last four months and book-to-bill maybe, and also for the next fiscal year here. So do you generally see this as a more normalized development, if you follow what I mean? I think you said weakness come in quarters. So that’s basically why I asked. And also, overall on APAC, I think increase of 6% with China down, that’s quite considerable strength in other markets in APAC. So just what countries that stand out there?
Gustaf Salford: Yes. I think if we take the last 12 months book-to-bill in China is still below 1. But quite soon it will get above 1, so to say. But we are kind of at that inflection point, if we look ahead and what we see. So we need to fill our backlog. And I think our Chinese team has done a tremendous job in installing machines during the last years here and holding up the revenue quite well. But now we’re in the phase of filling the backlog again, linked to this procurement programs, et cetera. The rest of APAC, as you mentioned, it’s quite strong. And I think we see growth markets there, outside China as well. And I think our overall APAC region has delivered good during the quarter. I don’t have any specific countries here, but maybe Tobias you want to add?
Tobias Hagglov: No. But I think you put it well. I think what we say the Asia-Pacific, Japan region grew strongly here. So there are several countries here. We have also made a successful acquisition here of go direct initiatives, which have had a positive contribution throughout the year. So to your point there, it performs strongly.
Mattias Vadsten: Good. Then if I can squeeze in one more. So I think we see the year-to-date development with strong service development and the weaker on solution. I know you don’t disclose the software revenues on a quarterly basis, but if you could just provide us with some directional comments, maybe how it looks year-to-date. And I think that’s especially interesting, of course, with the new innovations that you have in software to get a feel for the momentum here. And that’s the last one. Thank you.
Gustaf Salford: Yes. So I will start with a software question here more on a dynamic point of view and Tobias will add some on the financials. But if you look at our software, I’m pleased to see that our software has been growing faster than kind of the devices side on the Linac side. And that’s a great indication that all the investments we have been doing in that area is really paying off. So that’s the dynamic we have right now. And then, of course, we’ll drive the Linac business strongly going forward as well. But that we can add more software to the installed base and to our bundles will be a key part, as I mentioned before, of our gross margin expansion, as well as our EBIT margin expansion. But please, Tobias, on the service side and on the software margins.
Tobias Hagglov: No. But to your point, I mean, obviously here we have a very positive contribution, both from service and even more so for software. And Gustaf just said here is that we have seen a ramp up of the growth of the revenue side here of software here throughout the year here and was also very evident of one part of the positive product mix here in Q3. Looking at the order side, it’s even stronger here in the third quarter. And just as Gustaf mentioned, I mean, we have invested a lot in the innovation pipeline and a key component there is the software part of it. So and this will continue and we will also present more at the Capital Markets Day as a key element in our strategy to continue to drive it. Then, obviously, in terms of the service development here in the quarter, very strong growth, also important for us and we have a concept to drive service revenue growth faster than the installed base. We will also come back on this topic. So both items are key for us and have a clear margin accretion to our financial performance.
Peter Nyquist: Thanks, Tobias.
Mattias Vadsten: Thank you very much, Tobias. All the best.
Tobias Hagglov: Thank you.
Peter Nyquist: Next question, please.
Operator: The next question comes from Oliver Reinberg from Kepler Cheuvreux. Please go ahead.
Gustaf Salford: Good morning, Oliver.
Tobias Hagglov: Good morning.
Oliver Reinberg: Thanks so much for taking my question. The first one is on the margin. Not sure if I misunderstood you. Did you talk about a kind of a margin decline in Q4 year-on-year? If not, any kind of color how you expect the margin Q4 to develop? Secondly, just think about next year. I’m obviously not expanding any kind of guide, but can you just talk to what are the tailwinds and headwinds in terms of margin progression going forward? I think you’re going to see some kind of improvement in the mix within products, hopefully some kind of more topline leverage, and obviously, this kind of savings going to analyze. Headwinds would probably be amortization and a kind of higher solution mix. So any kind of color how you think about the margin progression next year. And then thirdly, just from this order book, amounting to 2.5 times of annual sales. I mean, so far this really struggles to support the kind of sales growth. So can you just talk to why is this the case and what do you expect actually that the order growth or the order book is going to translate into superior sales growth beyond order growth going forward? Thank you.
Gustaf Salford: Yes. So just to more than a little bit year-on-year and then going forward, what will be the drivers and then the order backlog conversion to revenues sales. So I just want to clarify a topic I said earlier in the call. I referred to the full year when I said lower EBIT. That is what we guide for. So that was not a Q4 specific questions. I just want to clarify that in the call. So EBIT lower for the full year. But then the more specific questions on the EBIT here and the margin progression, I hand that over to Tobias.
Tobias Hagglov: Yes. Thank you, Oliver. And just to -- I mean, just to say, Gustaf state here, you see in the full year outlook here broadly stable on revenues and for the full year. And then an EBIT margin, which is lower than for the full year, year-over-year. I think we are not providing a specific guidance on Q4. What you can say though, is that you have some clear positive items here impacting the margin development. We see a clear contribution from price and that is expected to continue. We also, when you look at the sort of inflation part, also expected to continue below the gross margin here. As you know, we have now reached our targets and above our targets for the cost reduction initiatives while then the amortizations are higher. So I would state it here looking into Q4 that the positive factors here that impacted the margins here in Q3, they will continue also in Q4. That’s how you can state it.
Gustaf Salford: And then I think on the order backlog, Oliver, transferring the order backlog to revenue is a big focus area for us. We see great development as we mentioned, a new product introduction and we’re working hard with also the rest of the backlog. And of course, that’s still the majority of the revenue that we deliver in Q4. And then over time, the increase from the Evos and Elekta ONEs and so on, that will be higher and higher proportion. An indication of that was that 50% of our orders for Linacs in Europe was actually Evos, the new technology. But we are focusing a lot of speeding up the order backlog conversions to installations and that is also a good growth driver in quite an uncertain world that we have right now, that we have it in the backlog, and that we can drive revenue growth for that. But I agree with you, I would like to see that faster and that will be a big focus area for the whole company in Q4 and onwards.
Peter Nyquist: Then I guess, Oliver, you had a question about next year progression as well. How do you see that?
Oliver Reinberg: This year.
Peter Nyquist: On the margin side you mean?
Gustaf Salford: Yes. I guess overall, right?
Oliver Reinberg: Yeah. Yeah.
Gustaf Salford: Yeah. So I think we come back to the same type of drivers that we mentioned here a couple of times in the call, new product integration. Look at Europe, the same type of waves would be in the rest of the world when they are regulatory cleared. You will see a good service growth, both on price increases and CPI index, as well as more value-added through the new products, as well as a lot of upgrades, as well as a lot of software and modules to our current customers and also new ones. So I think that’s kind of key margin drivers that we see. And I think also with the new product portfolio we now have, we have a much stronger way of breaking into more maybe mature markets, and that’s the rollout now in Europe, a great example of. And I look forward to that in the coming years to win in those markets with the most comprehensive product portfolio you have in the industry.
Peter Nyquist: Thanks, Gustaf.
Oliver Reinberg: That’s helpful. And if I take your comments and also considering the lower margin point this year, I mean, is it fair to assume for next year, a year of above average margin expansion?
Tobias Hagglov: As we have not provided any guidance on next year and I can, but we are firmly will drive just the aspects that Gustaf I mentioned here. We will continue to roll out the new great products that we have. We will continue to drive the commercialization of our software, drive the service part, continue also with be very stringent and firm on prices. As you know, we have a backlog which you constantly are working through. But the price development here, both revenue in this quarter and more so on the orders is then also key contributors. Then I think in terms of if you run through the full P&L, we will have a higher amortization next year, which is then taking down the margin a little bit and improve the cash conversion. But the positive things and the great investment cases that we have here for the new products and those we will further utilize and leverage here into next year.
Peter Nyquist: Thank you, Oliver, for those questions. With that, we’ll move to the next question.
Operator: The next question comes from Kristofer Liljeberg from Carnegie. Please go ahead.
Gustaf Salford: Good morning, Kristofer.
Tobias Hagglov: Good morning, Kristofer.
Kristofer Liljeberg: Good morning. Some questions. First, there’s one given the positive product mix you’re talking about. Why is the gross margin not more than 47% here in the first quarter?
Tobias Hagglov: Right. Thank you. So you have one part of that is that you have a negative currency impact of 60 basis points on gross margin. That is explained by a stronger British pound, which is where we have a lot of production costing and therefore we are short in that currency per translation of into the Swiss krona. So that is one part. And the service margin here is also a bit lower. And they’re primarily we have a geographical mix where we have very strong growth in emerging countries. And then we have some higher material costs as well on the service. So I think those two would explain the gross margin development as you pointed.
Kristofer Liljeberg: Are you still aiming for gross margin to improve above 40% here coming years?
Tobias Hagglov: For sure.
Kristofer Liljeberg: Okay. The other question I have, you’re talking about lower U.S. sales versus your expectation as part of the reduced guidance here. Could you provide some more detail about how much Evo sales had you expect in the U.S. this year? I thought you had expected very limited, at least in the third quarter, and also quite limited sales in Q4, but that’s maybe not the case?
Gustaf Salford: No. That’s correct, Kristofer. So that’s the same as we said previously, we didn’t have a lot of Evo in the quarter. We had a little bit in the last quarter, but not that much. So it’s really into next year. But what we can sell of our product launches is, of course, Elekta ONE and Elekta ONE Planning and that’s going well. So I think the current change is primarily due to previous types of products and technology that we have in the backlog, but that has taken a bit longer to get to installation. And that’s more a timing effect.
Kristofer Liljeberg: What is -- maybe you could explain the reason for that, because this seems to be an ongoing story. I remember, more or less a year ago, you also had delayed installations in the U.S. So the reasons for that would be interesting?
Gustaf Salford: It’s more timing. I mean, if you look at Q1, this year, we had very strong U.S. numbers better than expected. So it’s more timing, it’s often quite large projects. It’s -- and now we see a bit lower numbers in Q3 and Q4. But we expect that to pick up in the next year. And then on top of that, you will have the Elekta Evo opportunity. We see strong neuro business in the U.S. with our Elekta [ph] Gamma Knife Esprit. As well, we have a strong Brachy based build up as well. And on the Linac side, we will install what we have in the backlog. But of course, we look forward to have the opportunity with Elekta Evo.
Kristofer Liljeberg: Now you mentioned a lot of positive things, but, yeah, I don’t know. The regulatory process in the U.S., how worried should we be about the fact that Evo is still approved in the U.S.? And also when it comes to the timing with everything that’s going on at FDA, do you see that as a risk that it could further delay the approval?
Gustaf Salford: No. I think we see a lot of activities, of course, in the U.S. around these areas. I think there was news on FDA just last week and next year. So last week and during the weekend, we follow that, but we are in the middle of our process and that has not been impacted from the recent announcements. So we look forward to work with FDA to come to regulatory clearance as quickly as possible. But we cannot say exactly when that is, but as soon as we know, we will communicate around it.
Peter Nyquist: Okay.
Kristofer Liljeberg: Okay. Final question. Yeah. Sorry.
Peter Nyquist: No. Go ahead. Go ahead. Please.
Kristofer Liljeberg: Yeah. Final question. You mentioned 50% of Linac orders were for Evo in Europe. So I wondered -- the rest of it, are you still taking orders for the old Versa HD in Europe?
Gustaf Salford: Yeah. It could be Harmony’s as well, but we can still take Versa HDs. Yes.
Kristofer Liljeberg: Are you still planning to phase that product out?
Gustaf Salford: Yes. As I said, over time, Elekta Evo will replace Versa HD.
Kristofer Liljeberg: Okay. Thank you.
Tobias Hagglov: Thank you, Kristofer.
Peter Nyquist: Thanks, Kristofer. We’ll move to the next question.
Operator: The next question comes from Harry Shrives from Citi. Please go ahead.
Gustaf Salford: Good morning, Harry.
Tobias Hagglov: Good morning, Harry.
Harry Shrives: Good morning. Good morning. Hi, guys. Thank you for taking my questions. I have a couple here. Firstly, on the U.S., could you quantify maybe or just give us a ballpark figure on the scale of sales decline you’ve seen there and how it sort of trended versus the first half of the year? And maybe whether you expect any changes to this dynamic going forward before the Elekta Evo installation start? And maybe remind us on the sort of timeline you expect between orders and installations there?
Gustaf Salford: Yeah. So thank you, Harry. I think in the quarter U.S. was down 10%. If we look at the first two quarters, we actually had quite strong U.S. numbers. Year-to-date, we are around plus 1%. So I would say it’s not where we want to be, but okay performance in the U.S. Then in the next quarter, we don’t foresee strong U.S. numbers. But of course, when we get everything we talked about in the previous questions with the product launches, we can drive strong and good growth in the U.S. In terms of timing, on average in Elekta, between orders to revenue takes around one year for a Linac product. However, when you have new product launches, a lot of customer wants that as quick as possible. So then we can go to say six months or sometimes even below that when it comes to Linac products. So it’s a bit different dynamic when you do the rollouts of new technology. If you take the upgrades, that could go much faster because that’s an upgrade to an existing installed machine. And that’s what we’ve shown now in the last quarter that the upgrade business in Europe has been really taking off and I’m really pleased to see that, I must say.
Harry Shrives: Okay. Great. And then the next question just on Europe and Evo in Europe, can you maybe give a bit more color around the number of Evo installations you’ve done, the split between upgrades and new installations and sort of how you’re doing with competitive accounts there, and any sort of pricing premium that you’ve seen so far on average?
Gustaf Salford: Yes. We don’t give out our pricing on average improvements, but it’s significant. And as I mentioned before, it’s a lot of software and new capabilities, and value to the customers to go to adaptive treatments. So they’re willing to pay for that and that’s what we see. We’ve seen strong uptake across Europe. We see it in U.K., we see it in Germany, we see it in France, we see in Austria. So it’s really taken off. What’s a bit new in this quarter compared to the previous quarters is that the upgrades are really coming. We started with a reference size because that’s important for us to show other customers. And now we see the waves of upgrades and image enhancement with Iris coming really positive. And we see a very strong and good price realization as well in the orders, but also on the machines that we are installing. So I think the Evo and Elekta ONE conversation in the European market is going very well. Thanks.
Harry Shrives: Okay. Thank you very much.
Peter Nyquist: Thanks, Harry. We’ll move to the next question, please. Operator?
Operator: The next question comes from Sten Gustafsson from ABG Sundal Collier. Please go ahead.
Gustaf Salford: Good morning, Sten.
Tobias Hagglov: Hello, Sten.
Sten Gustafsson: Good morning, guys. So first, some follow ups here. On Evo, did you talk about if you had taken any orders from any hospitals with competitor systems? That would be interesting to hear if you have, yeah, replaced any variant machines with Evo to start off with?
Gustaf Salford: Yes. The answer is yes, Sten. We are seeing that. We are seeing competitive flips as we see it. And also with our new software suite and this is important. We can do planning on competitors’ machines as well and that enables us to serve those customers with Elekta technology, both on the Linac side and the treatment planning software side and on quality information system side. So I think that we have seen an uptake of those types of customers as well.
Sten Gustafsson: Great. That’s good to hear. And then coming back to the U.S. question here and the lower installation pace. Have you lost any orders or I’m trying to understand why it’s taking longer to install systems that you had planned for already?
Gustaf Salford: I think for Elekta, it’s been a slower market during the last quarter. We foresee that in the coming quarter as well. We haven’t lost anything from the backlog or anything like that. So that’s not the reason for it. But it has been taking longer compared to what we had in the initial plan. But there’s no specific reason for it.
Sten Gustafsson: Okay. And do you think that the longer installation time will continue or is it something you could work on to improve?
Gustaf Salford: Oh! Yes. It’s -- I mean, we work a lot on it to improve it and the U.S. is a very important opportunity for us. Because as I often say, it’s not really a market growth -- market for Elekta. We need to gain share and we do that with new technology. So that is what we will drive going forward. We want to speed up, of course, the revenue growth in the market and we will. But we don’t foresee that happening in the next quarter or in Q4.
Sten Gustafsson: Okay. Thanks. And if I may just quickly one final question. What’s the dialogue now with FDA? Have they gotten back to you with a number of questions that you’re working on to respond to or where are we in that process?
Gustaf Salford: Yeah. It is the regular process that you submit, you get questions, you answer those questions and they come back. So we are in the middle of that process and we cannot say exactly the timing because that is what the FDA decides. But as soon as we know more, we’ll come back with more information.
Sten Gustafsson: Thank you.
Peter Nyquist: Thank you, Sten. So we are getting closer to the hour. But we have time for one more question, Operator. So please go ahead.
Operator: The last question is from Richard Felton from Goldman Sachs. Please go ahead.
Tobias Hagglov: Hello, Richard.
Gustaf Salford: Good morning, Richard.
Richard Felton: Thank you. Yeah. Good morning. Thanks very much for squeezing me in. Just two questions for me, please. My first one is on the services margin, which I think you said was down in the quarter. Are you able to provide any more color on what was driving that margin pressure for the services part of the business and whether those drivers are temporary or structural? And the second question is to follow up on the amortization of R&D question. Tobias, I think, you alluded to that being a further headwind into your next fiscal year. Is there any quantification you can provide around that point? Thank you.
Tobias Hagglov: Yeah. Thank you, Richard. So, firstly, put color here on the services margin. So I think here, when you look at it, you have two aspects, right? The first one is really a geographical mix where we had, you saw the growth rate here in the third quarter was really strong. It was plus 10%. And in that, we had even stronger growth here in emerging markets. I don’t think that you should expect that strong mix here towards the growing markets going forward. The other part here is in terms of the material -- higher material cost, the inflationary driven material cost, that is likely to continue. So part of this will remain and part of this is to see in that will improve. But obviously, then dependent on how the service revenue plays out, but that’s how I would put it. And I would also say here, when you expand the horizon a little bit on the service margins, that prices on the service renewals are good. So here we have horizon a little bit, we will restore these service margins. In terms of the amortizations here, you are seeing an uptick here throughout the year. And I think that we will have a further increase here in Q4 as well. Moving then into next year, you will see here further increase. We haven’t quantified this specifically, but it will clearly be a higher run rate than what you see here in the third quarter.
Peter Nyquist: Thank you, Tobias. Thank you, Richard, for those questions.
Richard Felton: Thank you.
Tobias Hagglov: Thank you.
Peter Nyquist: Before closing the call, I would like to hand over the word to you again, Gustaf, for some closing remarks.
Gustaf Salford: Yeah. Thank you, Peter, and thank you to all listening in. And I would just like to conclude this quarter, a quarter where we had lower sales in China due to continued weak market conditions. And we also saw lower volumes in the U.S. as customers also are awaiting the Evo regulatory clearance. But what makes me most encouraged is the strong order growth of 21% across all our regions, across all our product lines. It’s mainly driven by higher activity levels in China and also increased customer interest for Elekta Evo and Elekta ONE. So with that, I would like to say thank you.
Tobias Hagglov: Thank you.
Peter Nyquist: Thank you.